Operator: Greetings, and welcome to the CureVac Fourth Quarter and Full Year 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. . As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Sarah Fakih, Vice President Corporate Communications and Investor Relations. Thank you. You may begin.
Sarah Fakih: Thank you. Good morning, good afternoon and welcome to our conference call. My name is Sarah Fakih, and I'm the Vice President of Corporate Communications and Investor Relations at CureVac. Please let me introduce today's speakers. On the call with me from CureVac are Alexander Zehnder, Chief Executive Officer of CureVac; Myriam Mendila, our Chief Development Officer; and Pierre Kemula, Chief Financial Officer of CureVac. Please note that this call is being webcast live and will be archived on the Events & Presentations section under Investor Relations on our Web site. Before we begin, a few forward-looking statements. The discussions and responses to your questions on this call reflect management's view as of today, Tuesday, April 25, 2023. We will be making statements and providing responses to your questions that state our intentions, beliefs, expectations or predictions of the future. These constitute forward-looking statements for the purpose of the Safe Harbor provisions. These statements involve risks and uncertainties that could cause actual results to differ materially from those projected. CureVac disclaims any intention or obligation to revise any forward-looking statements. For more information, please refer to our filings with the U.S. Securities and Exchange Commission. I will now turn the call over to Alexander.
Alexander Zehnder: Thank you, Sarah. Ladies and gentlemen, good morning, good afternoon to everybody on the webcast. On April 1 this year, I took over the leadership of CureVac that pioneer in mRNA technology and a company that is at an inflection point, transforming from a research oriented biotech to a fully integrated commercial biopharma company. Positive preliminary clinical data in our prophylactic vaccines area reported earlier this year have demonstrated the great potential of our proprietary mRNA platform. This critical milestones opens the door for CureVac to explore new opportunities in the development of effective vaccines and therapeutics and we are now entering a new chapter of our corporate evolution. So I'm really thrilled to bring my strategic vision and strong operational and commercial experience to CureVac at this pivotal moment for the company. Please let me take the opportunity to briefly introduce myself. I'm a medical doctor by training and have worked in the pharmaceutical industry for more than 20 years across different companies, culture, disease areas in roles of increasing complexity and responsibility. I had the great fortune to learn and grow in positions held at industry stalwarts such as Roche, Genentech and Sanofi in product strategy and commercially focused positions across multiple business units and functional areas. Most recently, before joining CureVac, I led the global oncology franchise at Sanofi. I was responsible for shaping one of the company's key future growth drivers, rebuilding the product pipeline, launching new medicines, strengthening the organization and representing the company. And I'm convinced that my experience in bringing practice-changing medicines to the market, building pipelines and shaping organization will be of great benefit as we take CureVac to the next level as a relevant commercial player. And I'm really honored to pursue this mission in collaboration with all our RNA people, as well as my colleagues from the CureVac management team, which was strengthened in February this year by the addition of Myriam Mendila as our Chief Development Officer. So before I go into the quarterly review, I would also like to give Myriam the opportunity to briefly introduce herself.
Myriam Mendila: Thank you, Alexander, and a warm welcome to everyone on the conference call. I'm really excited to have joined the exceptional CureVac team at this decisive moment in the company's corporate development. I come to CureVac with more than 20 years of global, regional and local experience and product development. medical affairs, pharmacovigilance and health care compliance, as well as commercial strategy at Roche, Genentech and Novartis. Before joining CureVac, I was the Chief Medical Officer and Global Head of Medical Assays Oncology at Novartis Pharma in Switzerland. In this role, I was accountable for the worldwide oncology medical affairs function and oversaw the development and also execution of the global medical strategy for the entire oncology product portfolio. Furthermore, I ensured high standards in quality and compliance for all related medical activities worldwide. As a physician and throughout my entire career, I have been truly committed to making new treatments and therapies available to those who need the most and to do always what is right for the patient. By putting the patient at the center of everything we do, I'm convinced we can make the best decisions and develop the right therapies. I believe that the mRNA technology is the next function in medicine, and I'm really proud that, at CureVac, we have the opportunity to apply this technology and develop innovative therapies to support the fight for human health. I look forward to putting my operational and strategic product development experience as well as my skills and transformative competency development to work for CureVac as we advance our mRNA product pipeline. Let me now hand it back to Alexander.
Alexander Zehnder: Thank you, Myriam. So let's turn to Slide 6 and reflect on the key achievement for 2022. It was indeed a transformational year for CureVac as the company made significant progress on various fronts: validating our mRNA platform, strengthening our oncology capabilities, namely in antigen discovery; driving the ongoing business transformation; further enhancing our seamless manufacturing capabilities; and importantly, maintaining a strong cash position that should take us well into 2025. In clinical development, the primary goal for 2022 was achieved with the start of four Phase I clinical trials in COVID-19 and flu, in collaboration with our partner, GSK, which compares modified versus unmodified mRNA in both indications using our advanced second-generation backbone. In early '23, successful execution of this clinical development program led to a key achievement for CureVac, the validation of our second-generation mRNA technology platform based on positive preliminary data reported for both indications. The data demonstrated that modified mRNA technology offered better tolerability with a broader applicable dose range. Furthermore, we observed strong antibody induction starting at the lowest tested doses. These clinical insights from our prophylactic vaccine trials will provide an important basis to inform our development programs for oncology, where we significantly expanded our footprint in 2022 by acquiring Frame Cancer Therapeutics and partnering with myNEO. This now gives us access to a state-of-the-art antigen discovery platform which is expected to enable us to build a portfolio of novel cancer vaccine candidates. On a corporate level, we further broadened our operational bandwidth with growing the talent base in every area of the company. Two new CureVac sites were inaugurated in 2022, in Amsterdam and Brussels, stepping into the European biotech infrastructure as well as the vaccine-specific talent pools. Company-wide digitization continues to advance with a state-of-the-art ERP system to professionalize our processes, streamline our operations and increase efficiency. In manufacturing, the German Pandemic Preparedness Agreement reached in April 22 accelerated the buildup of our commercial grade GMP IV plant as a safeguard against future infectious disease outbreaks. GMP IV is expected to be operational in 2024. And this really puts us in a unique position to offer seamless, scalable manufacturing capacity from large commercial scale using our GMP IV facility to small scale using the RNA printer, or highly automated system for personalized cancer vaccines. Looking at the financials, 2022 closed with a strong cash position of almost €496 million, which benefited from effectively addressing the headwind from first-generation vaccine candidate commitments. In early '23, additional funds were secured to a highly successful capital raise providing us with $250 million in gross proceeds. This extends our cash reach into mid '25 and supports the execution of our strategic goals and priorities in 2023 and beyond. On Slide 7, we have laid out the CureVac product development pipeline. This pipeline leverages our technology expertise in three therapeutic areas: prophylactic vaccines, oncology and molecular therapies. In our most advanced area, prophylactic vaccines, pipeline expansion is driven by our clinically validated technology platform and our proprietary second-generation mRNA backbone. This backbone forms the basis for the four Phase 1 clinical trials we are currently running in COVID-19 and flu in collaboration with our partner, GSK. It will also be the basis for continued clinical development in these indications. The clinical insights, based on these trials, combined with our antigen-discovering capabilities gained through the acquisition of Frame Cancer Therapeutics, will support the buildup of a differentiated vaccine portfolio in cancer. In the third therapeutic area, molecular therapies, we are developing optimized mRNA therapeutics together with several collaboration partners, which are intended to address therapeutic  to treat rare and metabolic diseases. Here, we are currently advancing preclinical studies in the liver MDI  as well as working on therapeutic antibodies. In considering the broad spectrum of diseases with high unmet need, it is clear to me that mRNA technology has every potential to deliver practice-changing medicines and to revolutionize treatments in the years to come. Now let me go on to the key catalysts on Slide 8 that will drive our pipeline and 2023 goals. With the clinical validation of our mRNA technology platform, we have reached an important inflection point, and now our future success will depend on strong execution disciplines of our key catalysts in 2023. The first priority is to deliver on clinical development programs for prophylactic vaccines in collaboration with GSK. We plan to initiate a Phase 1/2 study with a multivalent, modified flu construct in the second quarter of this year. And for COVID-19, we expect to start a Phase 2 trial using both a mono and bivalent modified construct later in 2023. In oncology, we previously announced the plan to start two clinic 
Operator: Ladies and gentlemen, please stand by.  Thank you. You may now resume.
Alexander Zehnder: Sorry for this. So it feels like even though we are making progress as a company transforming, we still have some work to do with IT. So maybe let me go back to Slide 8 and just revisit some of the key catalysts that will drive our pipeline. As mentioned, we plan to initiate a Phase 1/2 study with a multivalent modified flu construct in the second quarter of this year. And for COVID-19, we expect to start a Phase 2 study using both mono and bivalent modified constructs later in '23. For oncology, we previously announced the plan to start two proof-of-principle studies in 2023, designed to validate and optimize our second-generation mRNA backbone for tumor-directed immune responses. The first studies in patients with surgically resected glioblastoma is expected to start in the second quarter. Following a recent portfolio review, we decided not to do a second proof-of-concept study using a single antigen approach in melanoma, as previously communicated, but rather focus on fully leveraging our new antigen discovery capabilities with our second-generation mRNA backbone to bring a more differentiated state-of-the-art cancer vaccine candidate addressing multiple novel antigens to the clinic. This study will be conducted in combination with a checkpoint inhibitor and is expected to start in 2024. And in molecular therapies, we generated preclinical data on an undisclosed indication in ocular diseases in collaboration with the Schepens Eye Research Institute in Boston. We expect the scientific publication in the second quarter of this year, followed by the selection of a candidate for further clinical development. Last but not least, in manufacturing, we are driving innovation by leveraging the RNA Printer, our automated solution for GMP-grade mRNA in oncology. Subject to regulatory approval, we expect the printer to obtain its first drug substance manufacturing license in the first half of 2023. With this, let me now hand the call over to Myriam again for a more detailed update on our clinical development programs in prophylactic vaccines and oncology.
Myriam Mendila: Thank you, Alexander. So on Slide 9, let me start with an overview of clinical development for our COVID-19 and flu vaccine programs jointly developed with GSK. With the preliminary data reported earlier this year, we identified a modified mRNA as the preferred technology for further clinical development in prophylactic vaccines for both indications. On the left, we summarize the currently ongoing studies, applying modified second-generation backbone construct, the monovalent FLU SV mRNA study for flu at the top left, and the monovalent CV0501 study for COVID-19 at the bottom left. The final data readout for both studies are currently being finalized. On the right side of the slide, you can see the upcoming studies Alexander mentioned in both indications. At the top right, a combined Phase 1/2 study for flu will be initiated with modified multivalent constructs, addressing all four WHO recommended influencer strains. It will assess the safety, reactogenicity and also immunogenicity of the vaccine constructs in healthy, younger and older adults versus a licensed comparator vaccine. The initial Phase 1 dose escalation part is expected to start shortly and will be conducted in the U.S. and Belgium. For the upcoming COVID-19 study on the bottom right, a Phase 2 trial is expected to start later in 2023, and with modified mono and bivalent mRNA construct addressing clinically relevant SARS-CoV2 variants. The study will be conducted in healthy younger and older adults versus a licensed comparator vaccine at clinical sites in the U.S., Germany, Belgium and other countries. While the previously reported positive preliminary data for flu were already quite comprehensive, we would now like to provide an update on data from outstanding dose levels for the COVID-19 Phase 1 study. On Slide 10, let me walk you through updated preliminary reactogenicity as well as immunogenicity data for CV0501 encoding the Omicron BA.1 variant. The reactogenicity data illustrated on the left represents solicited adverse events within 7 days after the booster vaccination in the younger adult group aged 18 to 64 years and older adult group aged greater or equal to 65 years. In younger adults, the presented data in the upper figure newly features the previously unavailable dose groups of 3 and 6 micrograms. Both doses are tested only in the younger adults. Here, one Grade 3 solicited adverse event occurred at 3 micrograms, which was reported to be fatigue. In older adults, the newly available data in 100 and 200 micrograms in the lower figure showed no Grade 3 solicited adverse events. Overall, the reactogenicity data of both age groups at the new tested dose levels are consistent with previously reported data and confirmed that CV0501 is generally well tolerated across both age groups and all dose levels. Antibody responses against the BA.1 variant across both age groups are shown as a geometric mean increase of antibody titers, or GMI in short, in the table to the right. The ratio of post to pre-boost neutralizing antibody titers represents the boosting activity of CV0501. Previously reported geometric mean increases of antibody titers at dose levels of 12 to 5 micrograms, ranged between 7 and 9  for younger adults and between 13 and 21  for older adults, depending on the day when the data were measured. The new preliminary GMI data at 3 and 6 micrograms on day 15 confirm that CV0501 induces meaningful antibody responses even at the lowest tested dose. Data at day 29 is currently being finalized. After this data update for the now completed dose range in the CV0501 study, we are not anticipating further updates before the final Phase 1 data in COVID-19 as well as flu become available. With this, let me now shift gears and turn to our oncology area. On Slide 11, I would like to draw your attention once again to the strategy for continued expansion oncology, our next growth driver, which we are rapidly advancing in addition to our progress in prophylactic vaccines. With the key achievements in 2022, we have acquired and assembled all components needed to succeed in oncology. We have a highly potent second-generation mRNA backbone that has clinically shown its ability to raise strong and tolerable immune responses in flu and COVID. We have integrated a cutting-edge genomics and bioinformatics platform for the discovery of differentiated and new tumor antigens. We are rapidly progressing oncology enabling technologies, such as improved and dedicated lipid nanoparticle, or in short LNP systems that are specifically enhancing T cell immune responses which are most critical in oncology applications. And finally, our scalable manufacturing enables the rapid and flexible availability of cancer vaccines from R&D to commercial scale complemented by the RNA printer, which is expected to open new avenues for providing personalized mRNA-based cancer vaccines. Taken together, these elements provide the leverage we need to be successful in oncology. In 2023, a key deliverable will be to bring them together and kick off a broader portfolio of novel cancer vaccine candidates for off the shelf as well as fully personalized therapies. To this end, and as Alexander has already noted, our anticipated proof-of-principle study in up to 54 patients with surgically resected glioblastoma is well on track to be initiated in the second quarter of 2023. The Phase 1 dose escalation study will assess the safety and immunogenicity of our second-generation mRNA backbone construct, encoding for 8 epitopes derived from tumor-associated antigens over-expressed in glioblastoma. The trial will be conducted in Germany, Belgium and the Netherlands, and the first data readout is expected in the second half of 2024. With the successful study setup and manufacture of clinical trial material of the complex multi-epitope construct, we have already achieved important milestones to initiate the study. Now the potency of an mRNA vaccine is a combination of the efficacy of the mRNA construct itself, as well as the LNP system that transports the mRNA to the cells. Therefore, our proprietary LNP research is an important enabler for our developments in prophylactic vaccines as well as oncology. We previously reported a new LNP system consisting of a PEG-free lipid composition that showed highly localized distribution in the immune compartment, good cellular and tumoral responses in mice, as well as good room temperature stability as a dried presentation. Taking this research to the next level, we are now developing effective LNP systems that address specific requirements for efficient mRNA delivery for both prophylactic vaccines as well as cancer vaccines. As implied on Slide 12, the requirements for LNP systems for prophylactic vaccines and cancer vaccines are different, illustrating the need for the development of application-specific LNP systems. By prophylactic vaccines, vaccines were primarily induced tumoral responses, namely strong induction of antibodies. For cancer vaccines, induction of tumor-killing T cells is critical. Prophylactic vaccines need to minimize reactogenicity as we are treating mostly healthy individuals. Cancer vaccines need to activate signaling pathways in the cell for the strong induction of systemic immune responses in seriously ill patients. Activation of certain cytokines and chemokines in those signaling pathways can lead to higher reactogenicity, but is really essential for the induction of a T cell response. And then lastly, as prophylactic vaccines represent a seasonal standard, they need to be stable enough for longer term storage at refrigerator or even room temperature. For cancer vaccines, stability can be deprioritized in favor of stronger efficacy. The most important finding in our LNP research is that the choice of lipids, their composition and concentration, allows us to tailor distinct immune responses to specific clinical settings. On Slide 13, you can see a data excerpt from comprehensive in vitro studies of selected LNP systems with varying lipid components and concentrations in human immune cells. Full data was presented at the European Molecular Biology Organization workshop in April this year. The figure on the left illustrates the comparison of different LNP systems and their ability to induce inflammatory cytokines, such as interferon IFN IL 6 . The induction of inflammatory cytokines is an important indicator of a first response by the innate immune system and is absolutely critical in the cancer for the induction of a T cell response. Accordingly, the strong cytokine signals detected with LNP #3 and 4 on the left are favorable characteristics for developing a cancer vaccine, but are less relevant in a prophylactic vaccine setting. On the right side of the slide, you can see the corresponding activation of antigen-presenting immune cells quantified via CD80 as an activation marker. Activation of antigen-presenting immune cells is, again, relevant for the induction of a T cell response as according to published literature, there appears to be a correlation between the amount of activated antigen presenting cells and the abundance of CD8-positive T cells. So the strong induction of cytokine signaling pathways and corresponding activation of antigen-presenting cells in LNP #3 and 4, again, represent essential characteristics needed for the design of a cancer vaccine. Our studies also generated comprehensive in vivo data in mice not shown here, which further demonstrate our ability to design specific LNP systems that enable us to endure tailored immune responses for specific applications. We consider our tailored LNP design a critical complementary technology with the potential to further improve the efficacy, safety and stability of our mRNA platform and differentiate our development pipeline. With this, let me hand back the call to Alexander.
Alexander Zehnder: Thank you, Myriam. Looking at manufacturing, our manufacturing landscape outlined on Slide 14 shows how we can rapidly provide mRNA designs to seamlessly shift across the entire spectrum of large scale manufacturing for pandemic preparedness as well as innovative small scale manufacturing for personalized vaccines using our RNA Printer. CureVac is one of the few companies in the RNA space that has true end-to-end capabilities from technology development and manufacturing, offering maximum flexibility, speed and scalability. And with this, let me hand over to Pierre for a review of the financial data.
Pierre Kemula: Thank you, Alexander. Good morning and good afternoon to everyone on the call. 2022 has been a year of transformation as we manage commitments related to a first-generation vaccine candidate and finance in R&D, manufacturing and corporate milestones. We closed 2022 with a solid cash position of €495.8 million. This cash position was strengthened in February by year -- this year by an additional $250 million in gross proceeds from a successful capital raise. With these additional funds based on the issuance of approximately 27 million common shares, we were able to extend our cash runway until mid-2025 and to diversify our investor base with new health care specialized investors. We established an aftermarket, or ATM, facility in September 2021 to provide us with the option to offer shares worth up to a total of $600 million over a period of several years. So far, we have already raised approximately $84 million. In 2023, our solid cash position will allow us to fund the advancement of our mRNA technology platform and further the development of our pipeline. Looking at the cash position on Slide 16. As already mentioned, we closed 2022 with €495.8 million. Cash used in operations was mainly allocated to capital expenditures for new production in facility in GMP IV, purchases for R&D materials and settling of contract as part of the wind down activities for the first-generation CVnCoV program. Financial statements reflect CureVac's transition out its previous exposure to CVnCoV. Moving on to the profit and loss statements. Revenues decreased by €29.5 million to €11.7 million for the fourth quarter of 2022 and decreased by €35.6 million to €67.4 million for the full year of 2022 compared to the same period in 2021. The decrease year-on-year was primarily driven by higher 2021 revenues related to the termination of the Boehringer Ingelheim collaboration and the subsequent recognition of €26 million in late 2021. Revenue from our 2 collaboration -- GSK collaborations decreased year-on-year by €12 million and amounted to a total of €62.3 million in 2022 compared to €74.3 million in the previous year as the company is focused on the lead programs, flu and COVID. In the first quarter of 2022, we received a €10 million milestone payment related to the start of the seasonal influenza clinical trial, of which €6.3 million were recognized as revenues in 2022. Operating loss was €121.5 million for the fourth quarter of 2022, representing €116 million increase compared to the same quarter of 2021. In the fourth quarter of 2021, we had recognized significant income from the release of governmental contract liabilities related to the upfront payment from the European Commission and the grant from the German Federal Ministry of Education and Research, or BMBS, amounting to a total of €574.5 million. No such income was recognized in 2022. For the full year of 2022, operating loss was €249.5 million, representing €162.8 million decrease year-over-year. The operating results was affected by several key drivers. Cost of sales decreased primarily due to the lower expenses for CMO services. Prior year 2021 was highly impacted by significant expenses for the setup of a European CMO network for CVnCoV, also including recognition of liabilities associated to the wind down of these contracts. This was partially offset in 2022, but increasing write-off raw material, no longer expected to be used following the transfer to another party of reserve production capacity at CMO. R&D expenses decreased year-on-year, primarily due to significantly lower development expenses related to the completion of the large Phase 2b/3 clinical trials for CVnCoV. Additionally, 2022 R&D costs were positively impacted by two elements amounting to €63.6 million. A, in line with the declining number of continuing study participants and renegotiation of existing contracts both in 2022, our remaining clinical cost estimate decreased, resulting in a reversal of €38.5 million from the provision reported as of December 2021. This decrease was partially offset by the increase in material consumed in R&D. B, R&D costs were positively impacted by a net gain from a change in the estimate of CMO contract termination provisions for €25.1 million following the transfer to another party of reserve production capacity at the CMO. Other income decreased, but was positively impacted by €32.5 million from another party for reimbursement of prepayment and production activity set up at the CMO. In 2021, other income was primarily attributable to amounts recognized from grants from the BMBS. Financial results decreased by €8.2 million to a loss of €7.2 million for the fourth quarter of 2022, an increase by €0.5 million to a profit of €0.3 million for the full year 2022 compared to the same period in 2021. They were driven by foreign exchange impacts and interest on investments -- cash investments. Pre-tax losses were €128.7 million for the fourth quarter of 2022 and €249.2 million for the 12 months of 2022. With this, I would like to hand back the call to Alexander for the summary of the key .
Alexander Zehnder: Thank you, Pierre. As the pioneer of mRNA technology, CureVac has entered next chapter in its transformation from a research oriented biotech company to a fully integrated commercial biopharma company. In 2022, we significantly accelerated the pace of our development and achieved key milestones with the initiation of comprehensive clinical programs in COVID and flu and the integration of a highly differentiated antigen discovery platform. In 2023, we are taking the next critical steps. Together with our partner, GSK, we are committed to advance and execute our clinical programs with the highest level of rigor and efficiency to bring safe and education vaccines to people. The next clinical studies in COVID and flu are well on track to be initiated this year. We're also well on track to initiate the first proof-of-principle study in oncology in the second quarter leveraging our second-generation mRNA backbone. Our strong cash position of €495.8 million at the end of 2022 was reinforced by a successful financing round earlier this year. It confirmed the broad confidence in the potential of our unique end-to-end mRNA capabilities, supported by a strong IP position, and it extends our cash reach into mid-2025 and supports the execution of our 2023 priorities and beyond. And with this, I would like to conclude our presentation, and we will now open the webcast to your questions.
Operator:  Our first question comes from the line of Jonathan Miller with Evercore. Please proceed with your question.
Jonathan Miller: Hi, guys. Thanks for taking my question. When do you expect to release data on the new flu and COVID programs that you're initiating? I ask because it seems like you're starting with new constructs again, when we haven't seen a fulsome publication of the prior data, and I guess the corollary to that question is what sort of venue would you publish those results in? Should we expect more press releases and company presentations? Or would you aim to publish those results in a peer-reviewed setting?
Alexander Zehnder: Thank you, John. So the question on when we will release new data and what the venue for that be, Myriam, do you want to take that one?
Myriam Mendila: Yes. Thanks, Jon. It's a great question. We are about to initiate the trials. And so at this point in time, it's always hard to predict when the data will come in because we have to set up the centers and have to recruit the patients. And hence, at this point in time, it's difficult to project time lines maybe in the most optimistic case towards end of the year, beginning of next year. And regarding the publication of the data from the current Phase 1 studies, for the COVID Phase 1 trial, the trial is ongoing, and so we have to finalize data collection, and then we will publish at one point, probably also end of the year, beginning of next year. But we have to confirm that, so please don't quote me on this. And for the flu Phase 1 study, that trial is also ongoing and we are currently discussing whether we are adding additional dose cohorts. And since -- as I said in the beginning, we do not or will not conduct additional preliminary exploratory analysis. Again, here, we also have to wait for the final data expected maybe towards the end of the year, beginning of next year.
Jonathan Miller: Okay. Makes sense. And then a follow-up, I guess, on the oncology side of the business. We've seen relatively little data from the platform so far. So will there be any publications on the technology or on preclinical data or is tough for us to look at before GBM data, second half of next year? And I just want to confirm that both GBM -- the GBM is a fixed vac, it's not a personalized cancer vaccine, it's a shared antigens?
Myriam Mendila: Can you say -- repeat the second question, Jon, sorry. I got the -- maybe let me ask or address the first one. The publications on the platform, were basically happened at the end of '21 in nature, where we basically published on our new backbone compared to the old backbone. But we haven't published, and we have generated a lot of preclinical data with our oncology construct, but those have not been published, and we are working with the team on this to see how we can quickly release those data. Can you repeat the second question, please? Because I didn't get that .
Alexander Zehnder: Yes. I think it was around the construct we are using for GBM, shared antigen, and maybe you can -- I think you mentioned in your presentation, but maybe you can just repeat it.
Myriam Mendila: Yes, exactly. So the Phase 1 trial in GBM is a proof-of-principle trial. So our goal is really to show that the mRNA backbone we are using works in the cancer setting. This is why we decided to basically load our mRNA construct with known epitopes or epitopes known to be immunogenic. And so these are shared antigens, again, derived from proteins that are over-expressed in glioblastoma patients and were also recently published.
Jonathan Miller: Okay. Makes sense. Thank you.
Operator: Our next question comes from the line of Ellie Merle with UBS. Please proceed with your question.
Ellie Merle: Hey, guys. Thanks so much for taking the question. Just a follow-up on oncology. I guess, in terms of the time lines we are starting other studies, are you going to wait for the proof-of-principle or initial data from the GBM study before you would start other trials in oncology, such as with your personalized neoantigen studies? Or could those perhaps start in parallel? And just in terms of your neoantigen approach with your acquisition of Frame, maybe if you could elaborate a little bit more on how your neoantigen selection approach might be differentiated from other players in the space in light of some of the recent data that we are seeing from Moderna? Thanks.
Alexander Zehnder: Yes. Thank you, Ellie. So two questions. One, whether we would do a sequential versus parallel approach for the first GBM study and then the next-generation of studies. And then I guess we can expand a little bit on our approach to the antigens following the Frame Cancer Therapeutics acquisition and the partnership with myNEO.
Myriam Mendila: Yes, so let me start with the first question. We will start the Phase 1 in glioblastoma in the second quarter. And in parallel, we are already planning for the next Phase 1 trials targeting other antigens. So the plan is really to move forward. The time lines around this sort of like next set of trials are probably later in 2024. But again, we need to confirm and work this out. But the key message is we are working and we want to initiate additional oncology trials. Regarding the neoantigen approach, that's really a great question. And that's where actually we believe that our CureVac approach is very differentiated compared to what our industry peers are doing. When you look at some of the data or the trials published, the way how antigens are usually discovered is by using whole exome sequencing. So most of the, again, industry peers sequence for only like the 2% of our DNA that code for proteins. What we do with our Frame approach is, actually, we go for whole genome sequencing, because then, we get really all genomic variations, including structural variations of the entire genome. And with that, you have a much, much larger repertoire of antigens to select from. And we also know from published literature that some of these antigens are large molecules considered to be not like cell antigens and also shown to be more immunogenic. And with this approach, again, and then complemented by a very, very unique bioinformatics platform, we believe we have a different approach on how we select and prioritize the antigens and then load them on our construct. So that's the first one. The second is, again, our backbone is differentiated and improved. And as I alluded to in the slides, we are also working on oncology-specific LNP systems to deliver the RNA to the immune cells, enhance the intracellular signaling pathways, and with that the immune response. And then last but not least, we also have the RNA Printer platform, which will enable us to really quickly deliver, especially in the setting of first line cancer vaccines.
Ellie Merle: Great. Thanks so much for the color.
Operator: Our next question comes from the line of Eun Yang with Jefferies. Please proceed with your question.
Eun Yang: Thank you. So Alexander and Myriam, you have a very extensive oncology experience over the years. So my first question to you is that, in your oncology program, currently you are planning for glioblastoma and melanoma. But with the messenger RNA vaccine approaches, what other solid tumor types do you think you would be quite applicable, as well as do you think there is a potential for liquid tumor opportunities? And the second question is on the prophylactic vaccines. So for the COVID vaccine, you're going to be testing mono as well as bivalent cancer -- the vaccine candidate. So this monovalent, is this same as the CV0501, or would that be a new construct? Thank you.
Alexander Zehnder: Okay. So two questions. One on our thinking around indications in oncology and then one on prophylactic vaccines. Maybe I can start with the oncology one. Obviously, there are a lot of learnings from our experience with checkpoint inhibitors that will guide as well how we develop both shared antigen and personalized cancer vaccines. So I think it's no surprise that some of the data that you're seeing into the clinic is in melanoma, maybe head a neck and lung. And I would say our focus initially while we are still looking at which antigens to which tumor types, and to have a perfect match, most likely would be in kind of the indication that you would expect, i.e., skin, maybe head and neck, maybe lung, but maybe patients with MSI high. But we will follow the signs, but I think that's what you can expect. I think probably focused on solid tumors first. I think in liquid tumors, that's a whole other ball game. And Myriam has a lot of experience in liquid tumors, so maybe she can share thoughts as well. Maybe let's finish the oncology question first, and then we can go back to the prophylactic vaccines.
Myriam Mendila: No, I think you said it well, right? For oncology, our antigen discovery work has just begun. And again, we cannot look at all the possible tumor types at the same time and do that subsequently. And so as, again, the data evolving, as we discover shared antigens across different tumor types, we will be setting up additional Phase 1 trials. And that work is ongoing. And hopefully, we can communicate more at the end of the year and the beginning of 2024. For personalized cancer vaccines, I think basically we can go into every tumor that we want, right, and where we expect to see genetic alterations. And here again, we will look where will be the highest unmet needs not yet addressed in other programs and then sort of like decide in which indications we will start our clinical trial first. For liquid tumors, as you ask, I think that's actually a field where cancer vaccines, or not so much activity with cancer vaccines has been initiated so far. And it's also an area where we will sort of like focus our antigen discovery work on in the coming months.
Alexander Zehnder: Yes. Maybe my own thought on cancer vaccines, more broadly, I think we have tried this for many, many years. And I think the path of cancer vaccine has been mostly failures over many, many years. But I do believe, as we are kind of at an inflection point with mRNA, COVID and flu, I think the same is true for oncology as well, with now a better understanding on antigen, how to select them, ability to build more advanced constructs with platforms as well as the LNPs, I do believe we are at an inflection point potentially for cancer vaccines as well. A very broad field, and we see definitely a lot of potential here.
Myriam Mendila: And maybe we can move on to your second question, right? You asked whether the sort of like a monovalent also bivalent construct in our, to start, Phase 2 COVID-19 trial is the same as CV0501? And the answer is no, it's not the same. In CV0501,we targeted BA.1 as a relevant SARS COVID2 variant. And for our Phase 2 trial, we are targeting BA.5 as a variant in the monovalent as well as in the bivalent construct. But …
Eun Yang: Thank you.
Myriam Mendila: But of course, we -- no, just to complete on this, we have to be agile, right, because we know the field is evolving. There may be other variants emerging over the summer and autumn. And so we, again, will need to stay flexible for future programs. But for the Phase 2, this is basically our starting point.
Eun Yang: Thank you.
Operator: Our next question comes from the line of Roy Buchanan with JMP Securities. Please proceed with your question.
Roy Buchanan: Hey, thanks for taking the question. Just to follow-up, make sure I'm clear on the multi-epitope Phase 1 starting in '24. Is that personalized or shared antigen? And if it's personalized, is it going to use the Printer? And then the follow-up is, does the trial have a monotherapy arm of vaccine-only and/or PD-1-only? Thanks.
Alexander Zehnder: Yes, maybe I can start. So the trial you mentioned starting in '24, it's going to be shared antigen, one. And it's going to be done in combination with the checkpoint inhibitor, right. And …
Roy Buchanan: No monotherapy?
Myriam Mendila: No.
Alexander Zehnder: No.
Roy Buchanan: Okay.
Myriam Mendila: Not at this point in time.
Roy Buchanan: I will jump back in queue. Thank you.
Operator: Our next question comes from the line of Evan Wang with Guggenheim. Please proceed with your question.
Evan Wang: Hi, guys. Thanks very much. So Alex, congrats on the CEO appointment. I just wanted to get a sense of your thoughts on in terms of CureVac moving forward. Probably how do you view the evolution of CureVac relative to other mRNA companies? What do you think the company needs to do to succeed competitively? And from a strategic perspective, can you give us your thoughts on how you plan to shape the strategy going forward? Thanks.
Alexander Zehnder: Thanks, Evan. Great question. So I've been in the role now for a bit less than a month. What I can tell you is this is a very, very special company. There is 20 years of experience, so it's a real pioneer. And I'm really impressed by the deep science, the deep expertise, really understanding, constructing mRNA. So there's a real deep science here. I think we now have an excellent platform. So that's why I do believe we need to transition now from a company that has been focused mostly on research and technology, and now we really need to shift gears and bring products to the clinic. So that's going to be a key focus for us, together with the whole team and under Myriam's leadership as well. I do believe it's a special company as well because it can really do mRNA end-to-end. And there are very few companies that really have the platform we have, to bring products to the clinic can manufacture them as well and has a strong IP position to defend it then on top of it. And last but not least, they're really great people here. So I mean, I'm really excited to be here. I think there's a lot of potential, a lot of work that we will need to do. In terms of strategy moving forward, so this is kind of ongoing, so please give me some time. And I will be sure I will come back to all of you to -- with my analysis a bit later on. But what is clear is the priorities are, we need to really execute on our COVID and flu programs in collaboration with GSK. We need to expand beyond infectious diseases with the work that we are doing in oncology. And I think beyond that, if I look at molecular therapies or rare diseases, we are going to be opportunistic. We have a few collaboration with academic institution ongoing. And if you see something that is great science, we will jump on it as well. So that's kind of my three big view on CureVac, Evan.
Evan Wang: Thanks. One follow-up. I saw that new study for flu was posted on clinicaltrials.gov. Just its evaluating a number of different formulations. Just wondering, as we are kind of seeing some competitor readouts here. I guess what is the intended product profile that you plan to take forward to Phase 3 trial? Do you expect to show superiority or non-inferiority with this first gen for Frame flu? Thanks.
Myriam Mendila: So the first -- the Phase 1 trial in glioblastoma is a proof-of-principle trial, right? So our main goal is really to show that the mRNA backbone works in the cancer setting and really our first trial to go into, again, an oncology setting. We have to really wait and see for the data, right? And then once the data are evolving, then we will decide how and if we take this program forward. I do believe, with the data published at the end of last year in glioblastoma, if that's what you were referring to, while they look promising, there's still a lot of room for improvement and a lot that can be done for the glioblastoma patients. And if our study, basically, results in the future indicate that we can contribute here again, then we will sort of like take it -- takes this program further for patients.
Evan Wang: Well, I was referring to the flu Phase 1/2 study that was posted.
Myriam Mendila: The flu -- or sorry, I misunderstood it. I thought I heard you say glioblastoma.
Alexander Zehnder: The question on flu was what is the comparator we are using in mRNA compares, I guess, is what I understood.
Myriam Mendila: Yes. So this study is currently still in sort of like design phase and in discussion with the health authorities. And we will disclose more details when we sort of like have finalized the design and we will communicate when we will start. I hope that's okay for you.
Evan Wang: Great. Thanks.
Operator: Our next question comes from the line of Andy Chen with Berenberg. Please proceed with your question.
Andy Chen: Thank you for taking my question. So both of my questions are around the cancer vaccines. So regarding the melanoma vaccine starting in 2024, I'm just wondering if you can provide more color around the multi-epitope design. I think the slide mentions that it's an innovative design. How is it different from the GBM design? If you can provide more color, that would be great. The other question is, so with emerging data from other companies around cancer vaccines in the past few days, how does that inform your decision going forward, both in melanoma and GBM and maybe in the future in head and neck and lung? Thank you.
Alexander Zehnder: Maybe I can start and Myriam you can add to this. Maybe I will start with the second question on the recent data on personalized cancer vaccines that were updated just recently at the AACR as well. I guess that's the data that you're referring to. For me, it's positive. It's good for patients. It's a proof-of-concept, right? It shows that personal cancer vaccines, in addition to a checkpoint inhibitor can bring meaningful benefit to patients. So it's Phase 2 data. So we still need to be confirmed in a Phase 3 trial, of course. But I think it shows a path forward for personalized cancer vaccines. I also believe there's still room for improvement. As Myriam has outlined, we are taking, I would say, a more comprehensive approach when we design our personalized cancer vaccines, really trying to cover as many variations as possible, looking at neoantigens as well as tumor-associated antigens, but I see it positive, but I think we can improve on this, and that's certainly what we are trying to do. We want to bring in differentiated medicines to patients. So that's what we want to do. And I guess the second question was -- or maybe Myriam, I will let you comment on personalized cancer vaccines first.
Myriam Mendila: Yes. Thank you, and I agree with you. The data on personalized cancer vaccines look promising, right? And today, right now, we do not know if the future will be sort of like setting up or will be successful for personalized cancer vaccines or for off-the-shelf vaccines with shared antigens loaded on the RNA construct or for both, and then in which indications. So this is what we have to sort of like where we have to wait for more data evolving. And that's why we are basically pursuing with our oncology strategy with both settings, right? Developing off-the-shelf antigen vaccines and then also a platform for personalized cancer vaccine. Regarding to your question, the sort of like newly to be designed trial in melanoma and other indications. So as we said, this will be a trial with an mRNA construct with sort of shared antigens and the approach we are taking right now is really looking at specific and different tumor types. And the sequencing data and then analyzing which antigens are shared and how we can -- and then sort of like taking those antigens through a validation step to show that they are not just shared, but also immunogenic that they are presenting -- presented on the MHC on the surface  and then also recognized by the T cells. So this is happening right now. And depending then on the outcome, we will select the antigens that are the most promising and load them to the construct, and then decide based on the results of this effort, which trials we will initiate and which indications.
Andy Chen: Thank you.
Operator: Our next question comes from the line of Luisa Morgado with Kempen. Please proceed with your question.
Luisa Morgado: This is Luisa dialing in for Suzanne from Kempen. I wanted to ask you guys if you could elaborate a bit more on your projection for distribution of operating expenses. So across the clinical development plans that you have now for the remainder of the year. And just overall on your cash burn that you are expecting more or less for this year.
Pierre Kemula: So happy to jump in. So we didn't break out, right, the P&L line by line in terms of spend. But what we try to provide is with the cash balance that we had at the end of last year, plus the cash that we raised earlier in this year, that this would -- according to our plan that as of today, bring us through to, say, May 2025. I think that's the disclosure that we wanted to put forward.
Luisa Morgado: Okay. Thank you. And just another -- second question. Could you also elaborate a bit more on how has it been, the integration of technology from the -- your recent acquisition of Frame Cancer Therapeutics?
Alexander Zehnder: Yes, maybe I can comment on this. It has been relatively seamless, right? So we integrate Frame Therapeutics starting last year. We established a site in Amsterdam as well, where Frame Therapeutics was located originally. And we are now incorporating this in our overall organization as well. This allows us also to recruit talent in the Amsterdam side. So it has been really seamless, working well across the different sites. And I think you will see soon, hopefully, that it also shows the results, that we are going to be able to really use these capabilities that we got with Frame. Not just the genetics, but also the bioinformatics capabilities, and that it will start to show and help us to really develop the next generation of cancer vaccines. So Luisa, to your question, very, very smooth, already producing great results.
Luisa Morgado: Thank you so much. That’s very clear.
Operator: Our next question comes from the line of Charlie Yang with Bank of America. Please proceed with your question.
Charlie Yang: Hi, guys. Thanks for taking the question. This is Charlie Yang for Geoff Meacham. So I guess regarding the oncology vaccine, I'm wondering like what's the rationale for choosing the glioblastoma as sort of first proof-of-principle indication versus melanoma? And I guess, in terms of like what would be the data that’s needed for you to make the, I guess, go/no-go decision to move to a next stage of development? And secondly, I guess, regarding the melanoma trial, is this going to be in the adjuvant setting or metastatic settings? And then I have just one follow after that.
Alexander Zehnder: Yes. Thanks, Charlie. Maybe Myriam, question on why GBM?
Myriam Mendila: Yes. So, Charlie, you may know, GBM is still a tumor or cancer indication with a really high unmet need. And there, we have recently published some promising or encouraging data showing that a cancer vaccine in glioblastoma can not only induce immune responses, but also clinical responses and then clinical benefit. And so we -- and then with the sort of application of data showing that specific epitopes can induce immune responses in glioblastoma, and then with our sort of like goal to really show proof-of-principle that our backbone works in this kind of a setting. We thought it's a reasonable approach to take known epitopes or antigen, load them on our construct, and then start the Phase 1 trial to really show that our mRNA backbone works. Regarding the data to make a go/no-go decision, I guess this is a composition of safety, efficacy and immunological data that will sort of like inform the decision to go or not go for further Phase 2. And then for melanoma, I think the answer is very easy. Right now we are in the design phase. So we can't tell you is this adjuvant, will it be metastatic first line, second line, low tumor burden, all in. And so these are the conversations ongoing, and we will come back once we have a final study design and also more fine-tuned time lines.
Charlie Yang: Thanks for that. Just I guess on my follow-up question, in terms of your LNP design, can you just compare and contrast that with the competitors LNP? And is this design going to be used in your vaccines for glioblastoma? Or is that more of the design that will be used in for the next stage of development?
Myriam Mendila: So we can't compare our LNP with that of industry peers, right? And regarding your question, what are we using for the glioblastoma trial. So we are using the -- for this, because it's a proof-of-principle trial and we wanted to go fast, we are using the LNP-315 and basically are getting ready for our next trial with off-the-shelf or personalized cancer vaccines to test our proprietary oncology LNPs. That's the plan.
Charlie Yang: Okay. Thank you.
Operator: Our next question is a follow-up question from Eun Yang with Jefferies. Please proceed with your question.
Eun Yang: Thank you. So I have a -- couple of questions for the prophylactic vaccines. So for the flu and COVID, the planned clinical trials for the new construct, are they going to be run by you or GSK? If not, when do you think the GSK will take over for the development? And the second question is, with the GSK, you have additional four undisclosed target. So when do you think we may expect a new target or targets from the collaboration? Thank you.
Alexander Zehnder: Okay. So flu, COVID, who will run the trials? So GSK.
Myriam Mendila: It's GSK, yes. So it's done in partnership, but GSK is the sponsor for the Phase 1/2 flu and also for the Phase 2 COVID trial.
Pierre Kemula: Maybe I can take the other question. So, Eun, as part of CLA 1, we have five -- basically, GSK's -- the right to five targets, right? One has been disclosed, and that is flu, right? The other one is outside of this collaboration in CLA 2, and that's COVID. So the other four are part of the first agreement have not been disclosed at this stage, and so we cannot comment.
Eun Yang: Thank you.
Operator: Our next question is a follow-up question from Roy Buchanan with JMP Securities. Please proceed with your question.
Roy Buchanan: Hey, great. Thanks for taking the follow-up. I'm going to follow-up right up on that last one, Pierre just answered, the next target. Can you say if that's -- if it's in your hands or their hands? What state of development it's at?
Pierre Kemula: Sure, I can comment. So basically, they can choose and not for any target they want, right? So outside of certain targets, which are both saved by the  stuff like that or other targets that we have kept to ourselves. But typically, they can -- within that restriction, they can up to any target until the very last moment of the collaboration.
Roy Buchanan: Okay, great. But any sense of the stages of development you can give us, probably not?
Pierre Kemula: No, sorry .
Roy Buchanan: Okay. All right. I guess, just long-term, can you give us the best guess on when you think you can be on market for flu and COVID? And again, I realize you have a partner in this. And then the last question, just the Bill & Melinda Gates candidates, rotavirus, malaria, universal flu, just any idea when those might be in the clinic? Thanks.
Alexander Zehnder: Okay. So two questions. One on time lines for potential approvals for flu and COVID, and a question -- follow-up question on the programs within Bill & Melinda Gates.
Pierre Kemula: I can take the BMGF question, if you want here. So, you’re right -- you're right, Roy, there is a set of indications, which we are working on with the Gates Foundation. Today, I guess the work is actually pretty early in preclinical, so difficult for me to give any guidance in terms of clinical timeline. There's a lot of science being worked on quite cutting-edge science, but that's not quite yet ready for the clinic.
Pierre Kemula: Right. And regarding the question on -- I think it was about when it could be launch or with the flu and or COVID vaccines come to the market again. We -- hard to comment right now because the Phase 1 and 2 trials are basically about to start. And so we will sort of like give better projections as the trials are progressing and again, don't want to disclose right now.
Roy Buchanan: Okay. Thank you.
Operator: We have no further questions at this time. I would now like to turn the floor back over to management for closing comments.
Sarah Fakih: With this, we would like to conclude this conference call. Thank you very much for your participation. Stay safe, and please don't hesitate to contact us should you have any further questions. Thank you, and goodbye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.